Operator: Welcome to the Fiscal Year 2022 Second Quarter Earnings Call. My name is Daryl, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Ajay Jain. Ajay, you may begin.
Ajay Jain: Thank you, Daryl, and good afternoon. I would like to remind everyone that comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. These statements speak as of today and the company undertakes no obligation to update or revise any forward-looking statement to reflect subsequent events, new information or future circumstances. Please review the cautionary statements and risk factors contained in the company's earnings press release and recent filings with the SEC. During the call today, management may refer to certain non-GAAP financial measures. A reconciliation between the GAAP and non-GAAP financial measures can be found in the company's earnings press release, which was filed with the SEC today and posted to the investor relations section of JOANN's website at investors.joann.com. On the call today from JOANN are Wade Miquelon, President and Chief Executive Officer; and Matt Susz, Chief Financial Officer. I will now turn the call over to Wade.
Wade Miquelon: Thank you, Ajay. Good afternoon and thanks to everyone on the call today for your interest in JOANN. This is an especially exciting time in our organization as we continue to rollout wide range of new growth initiatives as the nation's leading sewing and crafts retailer. Our second quarter results reflect the combined efforts and dedication of all our team members. Some other factors underpinning our continued momentum include our excellent merchandising and store operations execution and our robust omnichannel capabilities resulting in record net promoter stores. Through the strength of our brand, our unique product offerings and truly one of a kind omnichannel shopping experience, we are driving significant growth in customer engagement from our most loyal customers and also from our newest JOANN sewers and crafters. Matt will cover our financials in more detail, but I also wanted to take the opportunity to highlight the continued strength of our financial performance. Our adjusted EBITDA for Q2 was $23.5 million, an increase of $27.8 million, compared to the second quarter of fiscal 2020. JOANN also reported the highest gross margin percentages in our company's operating history during the last quarter, reflecting a 460 basis point improvement on a two-year stack. As a result, we reported a 17.8% increase in gross profit dollar growth on a two-year stack during Q2, which is an acceleration from our 13.5% growth in the first quarter of this fiscal year. JOANN remains ahead of our internal plan for adjusted EBITDA for the first half operating results and financial performance, which positions us well to deliver on our planned earnings for the full year. In Q2, we took meaningful steps to further strengthen our balance sheet with a new term loan that offers extended debt maturity and improved pricing terms. We also completed a sale leaseback of our distribution center in Opelika, Alabama. The net proceeds from this transaction were used to pay down our existing bank debt. These measures and the strength of our business will allow us to continue to invest in our growth initiatives and also support our new dividend policy, which we recently announced. We are especially excited by the initial results from the launch of our international e-commerce platform through which is a matter of weeks we were already shipping to 29 countries in across every major product category. Though we are at very early stages of expanding our geographic presence, increased global reach will provide JOANN with margin enhancement and growth opportunities going forward. We expect to ship to additional countries later this fall with the next phase of our international e-commerce rollout. Outside of the U.S., there is simply no other company that offers what JOANN can in terms of breadth of assortment and our related value proposition in particular across the sewing space and we intend to leverage our offerings accordingly. Historically, the second quarter is JOANN's lowest quarter in terms of sales and earnings contribution due to the inherent seasonality of our business. For perspective, Q2 typically represents 10% or less of our annual adjusted EBITDA. Last year was of course an exception as we had an unprecedented sales growth due to peak levels of spending our PPE by consumers as well as the temporary closure by one of our major competitors across all of their store locations. As a result, our total comparable sales increased by 54% in Q2 of last year. While Q2 was by far our most anomalous quarter last year, we don't expect year-over-year comparisons to fully normalize into the beginning of the fiscal year ending January 2023. For the balance of the current fiscal year, we continue to believe that the two-year comparisons are the most appropriate framework from which to evaluate our performance. We've had some large sewing categories negatively impacted by the COVID Delta variant, we continue to see solid overall sales trends on a two-year basis. We reported 8.1% total comparable sales growth versus the second quarter of fiscal year 2020. While this was below our expectations, the revenue shortfall was largely offset by our stronger than planned margin performance. Customers also continue to respond favorably to our omnichannel capabilities. Omnichannel sales grew by 115% on a two-year stack and reached $53.5 million in the second quarter, representing 11% of our sales in Q2 compared to 5% over the same period in fiscal 2020. Our BOPUS penetration now accounts for around a third of our total omnichannel revenue and our curbside pickup is now ranked as a best-in-class service. Importantly, in Q2, customer retention and acquisition metrics ran ahead of pre-COVID levels. From our top three million and newly acquired customers, our sales trends were up double digits on a two-year basis at or above our expectations. At sequential basis, we experienced a sharp increase in the number of new customers, doubling their growth from the first quarter. Also during Q2, we did experience a pullback of non-core customers who tend to be more seasonal nature in their shopping habits. Our data indicates that these non-core customers were more engaged in other leisure time interest and services during the quarter, such as outdoor activities and summer travel given the post-vaccination reopening environment. As I mentioned earlier I'm especially proud of the continued progress and customer satisfaction at JOANN. Our net promoter scores have consistently improved in each consecutive month throughout this year and achieved record highs within the quarter. I would like to acknowledge these results, especially in light of all of our team members' efforts in following appropriate COVID protocols with the goal of keeping our customers safe. We're also pleased with the sales and financial returns to date from our recent store remodels, which are exceeding the pro forma target and are transforming the sewing, arts and crafts customer experience. While we're still in the very early stages of our multi-year store refresh initiative, our net promoter scores at newly refreshed stores are meaningfully outperforming our store fleet overall. Looking forward, we will continue to carefully monitor and identify ways to mitigate inflation. To date, we have been effective in managing overall inflationary pressure, despite the well-documented pressures on feedstocks, labor and logistics. And that being the most critical shorter-term issue we're currently facing is the overall highly stressed supply chain at the epicenter which is ocean freight availability and related costs. For perspective, we are currently required to pay as much as 10 times our historic average container rate to secure overseas shipments. Nevertheless, we have done what is required to ensure that we will be in a strong in-stock position for the all-important back half of our year. While we face these issues in the short-term, we're managing through it by striking the right balance between driving topline growth and gross margin improvement. Ultimately, we expect these near term supply chain headwinds will prove to be transient and they will ultimately become tailwinds. Until then, we'll continue to drive smart enterprise choices to keep our customers engaged and also create value for JOANN. And finally, I'd like to express our concern for all JOANN team members and others who have been impacted by hurricane Ida. Please note that you are in our thoughts and we will continue to be ready to help you in anyway that we can. With that, I'd like to turn the call over to Matt to discuss our second quarter financial results in more detail.
Matt Susz: Thank you, Wade. I would like to reaffirm Wade's comments and compliment all team members across our entire organization under dedication in support of our customers and all our key constituents here at JOANN. I'll first cover key highlights of our second quarter performance in fiscal 2022. We reported net income of $5.2 million in the second quarter with diluted earnings per share of $0.12. Adjusted EBITDA was $23.5 million versus $93.1 million in our most impacted quarter last year from the pandemic. On a two-year basis, our adjusted EBITDA improved by $27.8 million. As Wade mentioned, we had record gross margin performance in the second quarter at 53.7% of sales, an improvement of 100 basis points compared to the first quarter of fiscal 2022. On a two-year stack, gross profit dollars increased 17.8% to $266.8 million, which is an acceleration from our 13.5% growth in the first quarter of this fiscal year. Other key developments in the latest quarter included the relaunch of our store refresh program that was previously slowed due to the COVID-19 pandemic. We completed seven projects in the past three months and we'll complete seven additional projects in the third quarter as we build toward a full schedule of approximately 60 projects next year. We also refinanced our term loan with a new covenant-lite $675 million credit facility, extending our maturity to 2028 and lowering our interest rate. Additionally, we completed the sale leaseback transaction for our Opelika, Alabama distribution center, which generated $48 million of net proceeds that we used to reduce borrowings on our revolving credit facility. The $24.5 million gain related to this transaction was recorded as a one-time item in our income statement. Finally, we paid our first quarterly dividend as a public company of $0.10 per share. Our dividend of the same amount for this quarter was just announced. I will now provide more detailed color on our quarterly results. Net sales decreased by 29.8% compared to the same period last year to $496.9 million with total comparable sales decreasing by 29.9%. As a reminder, sales in the second quarter last year benefited from unusually high spending on material to produce facial masks and other PPE by our customers as well as high numbers of competitor store closures, driving total comparable sales growth last year in the second quarter of 54%. On a two-year stack, total comparable sales increased by 8.1% from the second quarter of fiscal 2020. This growth was broad-based as all product divisions, geographic regions and both channels grew on a two-year basis. As Wade mentioned, our e-commerce business was a particularly strong contributor to our two-year trend growing at 115% on a two-year basis and comprising 11% of total company sales for the quarter. We accelerated gross margin expansion during the quarter as our rate to sales grew by 410 basis points compared to the same period in last year and by 460 basis points over two years ago. As a result, we grew gross profit dollars by 17.8% on a two-year basis. We continue to optimize promotion, reduce shrink and effectively manage clearance inventory to drive these results. We expect the factors that are currently driving our gross margin expansion to continue into our peak fall and holiday season, which we will work to offset significant cost challenges introduced by unprecedented supply chain constraints, driven by the COVID-19 pandemic. We remain committed to providing robust and exciting basic assortments, as well as fashion and seasonal merchandise for our customer with most of those products being imported from overseas. Despite challenges, we have successfully obtain bookings for ocean freight and over 90% of merchandise we will need for our peak third and fourth quarter selling season. To accomplish this in the current environment, we are having to absorb rates for ocean freight, in some cases, up to 10 times higher than historical levels, as well as incur additional costs to move products through congested ports and temporarily shut down rail networks. All of these efforts will allow us to move product through to our distribution centers and stores ahead of key sales events. While these incremental costs are beginning to impact the value of our inventory in our balance sheet, impact on gross margin was muted in the second quarter. Starting in the third quarter, these costs will be much more pronounced as we expect to see one-time negative impact on gross margin of approximately $30 million in the back half, with our peak fourth quarter holiday seasonal business most heavily affected. We plan to isolate the one-time impact of these incremental supply chain cost as a reconciling item for adjusted EBITDA in our upcoming quarterly reporting until these costs normalize. Our second quarter selling, general and administrative expenses decreased by 13% compared to the same quarter last year. Reduction in expenses was driven by lower sales compared to the second quarter last year, but also through enhanced store operating and other cost saving initiatives and the fact that we are no longer incurring what were significant pandemic-related costs last year. We feel very good about our ability to manage inflation over the longer term. We have held expenses to an increase of 3.4% over the second quarter two years ago after normalizing for incentive comp and depreciation while total comparable sales grew 8.1% over that same time period. The majority of our modest growth in expenses have been to increased wage rates in our stores and distribution centers to allow us to be more competitive in those key labor pools, which has allowed us to maintain healthy employment levels and deliver strong customer service. Depreciation and amortization increased by 2% over last year to $20.1 million driven by ongoing investments in stores, technology platforms and our new multipurpose fulfillment center in West Jefferson, Ohio. That new facility is already supporting key seasonal product flow to our stores and is on-track to also support direct to consumer and international e-commerce fulfillment next spring. Store pre-opening and closing costs increased by $700,000 versus last year to $2.8 million for the quarter as we have restarted our store refresh initiatives. Interest expense for the quarter decreased by $3.5 million versus the same quarter last year to $14.8 million. The decline in interest expense reflects our lower average debt levels compared to last year, as well as a lower average interest rate due to the cumulative effect of our recent refinancing activities. We continue to maintain a strong balance sheet that provides us with the flexibility to fund our strategic objectives and provide a return to shareholders, all while absorbing the non-recurring supply chain cost I described earlier. Our long-term debt was $771.2 million as of July 31, 2021, a decrease of $133.8 million from August 01, 2020. During our latest quarter, we completed a significant refinancing of our prior first-lien term loan facility, which was due 2023. Our new $675 million term loan was leverage neutral to our balance sheet as the proceeds were used to repay borrowings on our prior first-lien term loan and the balance to partially pay down our current asset base line of credit. Our new term loan facility comes with an extended maturity to July 07, 2028 with more flexible business terms and favorable pricing of 50 basis points on the interest rate compared to our prior term loan. As of the end of the second quarter, the trailing 12 months adjusted EBITDA as reported under our credit facilities was $295.8 million resulting in a reported leverage ratio for net debt less cash to adjusted EBITDA of 2.7 times. As we have shared earlier, we generate a substantial portion of our free cash flow during our fourth quarter and we'll have capacity to reduce debt leverage further by the end of our fiscal year. We continue to execute on our initiatives to drive working capital efficiency. We ended the second quarter with inventory 15% below the same quarter two years ago, despite absorbing nearly $11 million in additional landed costs within our inventory related to the COVID driven supply chain issues. Merchandise inventory turns also improved by 2.1 times as of July 31, 2021 versus 1.9 times a year ago. Capital expenditures were $28.6 million to the second quarter driven by investments in our new distribution center and information technology. We still expect total capital expenditures in the range of $65 million to $70 million for the full year as we work to complete our new distribution center project, rollout a new store point-of-sale system and ramp up our store refresh initiative to what will be full speed by early next year. Our first quarter dividend of $0.10 per share was paid on June 25, 2021 to shareholders of record on June 11, 2021. Our Board of Directors recently declared cash dividend of $0.10 per share for the second quarter payable on September 24, 2021 to shareholders of record at the close of business on September 10, 2021. While we are not providing formal guidance on revenue or earnings at this time, we did want to provide our updated expectations for our full fiscal year 2022 on some specific items that may be useful to those modeling our business. For capital expenditures, we expect a range of $65 million to $70 million for the current fiscal year. Pre-opening and closing expenses are expected to be in the range of $9 million to $11 million. Depreciation and amortization is expected to be between $80 million and $82 million. We estimate annual interest expense of $50 million to $52 million. An effective income tax rate of 22.5% to 23.5% for the full year. Weighted average basic and fully diluted shares for the third and fourth quarter are projected to be approximately 42.2 million and 43.8 million respectively, and weighted average basic and fully diluted shares for the full year are expected to be 41.2 million and 42.8 million, respectively. In summary, we are pleased with our financial performance through the first half of fiscal 2022. We remain focused on preparing our business for a successful fall and holiday selling season toward our unprecedented global supply chain challenges. With that, we'd be happy to take your questions.
Operator: Thank you. [Operator Instructions] And our first question is from Liz Suzuki from Bank of America. Go ahead, Liz.
Liz Suzuki: Great, thank you. Were there specific categories of products where you were unable to procure enough supply to meet demand? And if so, how much do you think that may have cost you in sales that would have been left on the table?
Wade Miquelon: I would say for Q2, I mean, we've been in pretty good shape. We've been investing to do that. What I would say, as you know, we're - if you look at like last year, we had kind of a lot of benefits from COVID. I would say that right now, we're in a position where we are seeing really kind of the negatives and as the Delta variant wanes, we think that we're going to be in an even stronger position. So, for example, fashion apparel, special occasion related notions about 20% of our categories are coming back - were coming back very fast for example in the Southeast or the other Southeast, for example. So, if you look at Q2, Southeast was up, number one performing region, high teens and those businesses were rebounding because they were really tied to things like cosplay events, proms, weddings and the like. And now that's pulled back very far in that region. So, I would say there weren't actually very good start of flowing product. We expect to be in the good stock in the balance of the year. But those businesses are the ones that are really dependent on people being able to again have proms and weddings and those kinds of events.
Matt Susz: I think specifically, Liz, on your question about inventory position, we've been able to maintain basic in stocks ranging between 93% and 95% which given our speed count is actually pretty good and where we normally kind of like to be. Where we probably had some impact on the quarter is, again we mentioned we've done, I think, a really good job of getting bookings for our back half seasonal programs. We did have some of that for fall and Halloween arise a bit late. We don't get a ton of sales in the second quarter on those, but we do get some. So there was a little bit of hurt there. And the other thing I would say is when we're seeing that product arrive, our sell-through has been really strong. So it gives us a lot of encouragement for the back half in those programs, but we did get a little bit of later start on being able to sell those items that we normally do.
Wade Miquelon: I mean, as you know, that global supply chains are disrupted beyond, believe I think that was definitely part of our decision to really go after margin versus being more aggressive on sales. There's really no point in promoting any more than we have to just end up having an out-of-stock or a whole for product in the back half. So I feel like we stuck a pretty good balance on that and it's pretty pragmatic, again given just the entire nature of the supply chain.
Liz Suzuki: Great. And that actually leads me right into a follow-up, which is on just early read on quarter to date in Halloween and fall for the core demand, how are you thinking about customer-related materials given that last Halloween was probably a bit more lockdowns and this year's is likely to be. And then just any thoughts about the promotional environment for holiday versus two years ago whether you think it's still likely to be a little bit lower, little tighter promotions?
Wade Miquelon: Yes. I will kind of start with the back half of that firstly. This is probably the best promotional environment we've been in and I don't really see it changing, I think this is very rational environment. People probably keep one eye on potential inflation, and again we've been able to, I think, manage it broadly outside of ocean freight very, very well. The early reads that we have on Halloween, for example, are extremely strong. And again, I mean, last year, there wasn't really Halloween, but we're feeling good. It's still early days. Importantly again, we're very well positioned with our merchandise. I'm also optimistic that people are ready to be together and do events, which don't fall - bleed into the fall as well as into Christmas. So as we look at it here we're feeling pretty good.
Liz Suzuki: Great. Thanks very much.
Wade Miquelon: Thanks, Liz.
Operator: And our next question comes from Lavesh Hemnani from Credit Suisse. Go ahead.
Lavesh Hemnani: Hi, everyone, thank you for taking my questions. So, firstly, on the second quarter results, I mean can you provide some more color on the specific categories that were doing really strong last year? How did those perform considering the customers purchasing multiple machines last year? And related, in terms of Q3 in the early reads that you are seeing, anything specific to comment on those categories as well? Thank you.
Wade Miquelon: Yes. All of our divisions were on a two-year stack basis, and our channels were up. And again, our top three million customers and our new customers were up very meaningfully. So that's a good picture. The arts and crafts and seasonal businesses was up meaningfully more than the sewing business. And the sewing business while it was up on a two-year stack basis, it's really - if you look at where the issues are, it really is related to those big events. It's related to, what we call, our special occasion or fashion apparel and related notions, and those businesses are lagging where they need to be - again those are really based on events. As I said before, as the Southeast was opening up, if you look at Q1, those businesses were roaring back, and now that COVID hits that area maybe higher than most areas. You're seeing those curb again. So we're optimistic on those businesses, because again there will eventually be events. Again our early reads on Halloween are pretty exciting. We see people potentially evolving into their next project. So we're feeling good about that. And as we go forward, I think, we're feeling that the picture probably is again we're set up very well for the back half. Early reads are pretty positive. This is the day kind of where everything starts to turn actually as we go into the holiday weekend here and we see actually historically and Matt can tell you, he is been here 25 years, those non-core customers. When you're competing with summer activities and summer camp and vacation and travel, they drive out, but now is when those non-core customers actually start coming back as kids go back to school and the weather starts to wane, so.
Matt Susz: Yes, I think another key piece to your question is just the customers that bought - record number of customers that bought crafting and sewing technology the past year were continuing to see their follow-on purchases, so supplies and materials be quite strong. I would say, what we have seen is the sale of some of those machines, particularly on the craft side still be very strong on a two-year basis. So well above pre-pandemic levels, but certainly not as - kind of as hard as they were last year.
Lavesh Hemnani: Got it. As a follow-up just on the margin piece. So, I mean 450 basis points up on two-year basis. Can you sort of unpack some of the key items within that and what should be embedded for the back half? Thank you.
Matt Susz: Sure, about a third of that growth is kind of some of the non-pricing pieces of that. So our shrink is improving substantially, and we're much cleaner in terms of clear and so kind of markdown impact in clearing discard impact on margin, about a third of their improvements from there. Really the balance of it is what we had spoken to earlier. We're kind of in an unprecedentedly favorable promotional environment. I think we are also - we've done a lot of work over the past two years to put ourselves in a much better position to take advantage of that and really understand promotional elasticity around a lot of our key categories. So that's really driving kind of the other two-thirds of that growth. So I think to Wade's point that promotional environment piece and our ability to leverage that, super confident and we can continue to drive that into the back half. We continue to be favorable in terms of our inventory cleanliness and our ability to drive down shrink. So we feel good about those. Again we talk a little bit about this and assume we will probably take a few questions here that import freight piece that everybody is dealing with is going to be meaningful. We've kind of scope what that looks like, but roughly around 200 bps of margin headwind for the back half will be kind of offsetting those tailwinds.
Wade Miquelon: Yes. Matt said it right. I think if we overstated, our inventory is at least not in any recent memory have been cleaner. And that's really important because not only is it less discard, it also means that we're able to have strong pricing power and don't need to move goods with other fashion, seasonal goods coming behind it. So that's just a great place to be, and I think we'll be able to stay in this position for a long time.
Lavesh Hemnani: Understood. Thank you so much.
Operator: And our next question comes from Paul Kearney from Barclays. Go ahead, Paul.
Paul Kearney: Hi, everyone. Thanks for taking my question. If we just look at the two-year stack on sales, there it seems to suggest a deceleration from Q1 into Q2. And I'm just curious whether you can provide a monthly cadence of how that played out and whether you view this - the main driver of that is the Delta variant or is it people pursuing other activities as things reopened?
Wade Miquelon: I think, it's a little bit of both. You can tie just some of the core businesses I talked about, the Delta variant surprising a couple of hundred basis points of growth. And they were starting to move, now they are kind of going sideways a little bit with that, but they will come back. Again that non-core customers that other piece that's about 25% or so of our customers. Again, if you look at our top three million and our new JOANN, the new actives that came in, but they were up meaningfully in the teens and beyond. So that's very strong, that that group is a group that kind of fades a little bit. And again I think being cooped up for a year and then being able to travel and do other activities just kind of natural, we do feel that group will come back to the historic we do, but it's really split between those two things.
Paul Kearney: Okay. And then just curious on the kind of the quarter-to-date trends. Are there any kind of categories you're seeing particular strengthen, especially those kind of back-to-school and just back-to-work or anything that you're seeing quarter-to-date that kind of gives confidence in the outlook?
Wade Miquelon: Like I said, all the arts and crafts and seasonal businesses are really doing very, very well, and we think that will continue for a long time and sewing if you take away those categories that are really driven by those big events, sewing is doing well. So again we're feeling pretty good, and really in the back half, the main event for us is being able to stand strong in our product for the seasons and have that inventory, that's where we do use disproportionate amount of our business in our EBITDA and we have made sure we have - we moved ahead in order to make sure that we're standing tall. We feel that in many areas we're gaining share. We don't feel that we're losing share anywhere and we don't want to lose that momentum.
Matt Susz: Yes, I think, in terms of looking at the third quarter, August really performs much more like our second quarter. It's typically kind of in that slower time period for us. Our business accelerates significantly kind of starting this weekend, Labor Day weekend, through the balance of the year, starts looking much more like our fall and holiday traffic, which again accelerate significantly from what we see over the summer.
Paul Kearney: Thank you.
Operator: And our next question comes from Zack Fadem from Wells Fargo.
David Lantz: Hi. This is David Lantz on for Zack. Thanks for taking our questions. Through the early days of the international e-commerce launch, can you provide additional details around kind of what you've seen in terms of customer purchasing patterns and how those vary versus U.S. customers?
Wade Miquelon: Yes, I mean its early days, but we're seeing a really exciting ramp here. What I would say it's probably a couple of different patterns we're seeing. The English-speaking countries are clearly disproportionate including countries where people speak two language like Israel, surprisingly in Germany and others, but I think that's one thing which gives rise to the fact that there is global demand for what we do especially in selling but that's easier. The other thing is we're seeing really big order size and that's in part because we're able to discount the freight for the large orders and make it a win-win for everybody. But the order size is meeting to larger than what we do domestically. But again it's exciting. We are seeing again as we said, across all of our categories, we have seen purchases, which is also I think exciting for us.
David Lantz: That's great. And then just a follow-up also. So we're getting to SG&A per store growth down in the mid-single digit range in Q2. I was wondering if you could provide some additional color on how you're thinking about that over the next few quarters.
Matt Susz: So, just make sure I'm following the question, just our trend on a two-year basis for SG&A growth and how we see that persisting?
David Lantz: Exactly, yes.
Matt Susz: Yes. So I think, again, continuing to kind of ensure we're competitive for labor, so I think that's always something we need to stay on top of and if required, we would lean into there. But absent of that, we don't really see anything meaningful that would derail us from the trend we've been on recently.
Wade Miquelon: What I would say is, we feel - I'm sure you will ask stories about how hard it is to get labor, and that is true that they are out there. I do feel that over the last couple of years, we have made pretty good strides in our wage rates with our store employees and our DCEs big step-ups there versus what's been kind of an average. Again last year, paying the premium to hourly employees, not furloughing anyone. They were with us and they support us. But I think that's also - it's been, I suppose, probably more difficult, if you furlough or lay people off, to get people back, and it is if you continue to keep them. So I think we feel in a pretty good position in terms of both the progress we've made in terms of trying to increase wages systemically as well as the ability to retain the people.
David Lantz: Great, thanks.
Operator: And our next question comes from Cristina Fernandez from the Telsey Advisory Group.
Cristina Fernandez: Yes. Thank you. I wanted to follow-up on sales. In the past, I think last quarter you talked about achieving mid-teens comp on a two-year basis, the next couple of quarters for the back half. In light of how the second quarter unfolded in August, today do you still think that sort of like mid-teens component to your stock is doable for the third and fourth quarters?
Wade Miquelon: I think how we see the back half is we're probably going to be in that - we're targeting like a mid-teens gross profit dollar increase which is about kind of what we did in the last few quarters. So we see that maintaining. That's kind of how we see it now, you know, to what extent there is the sales trade off versus the margin, I think we will see. Again, our bias right now is a little bit heavier in the margin than sales, just because of the supply chains, and want to be selling something below where we have to and not have any product behind it. But I think that's the way we're modeling and it is on a two-year stack basis, we kind of see the dust settling this year as we have always said is kind of, the quarters pretty consistently somewhere in that kind of mid-teen gross profit dollar versus two-year stack.
Matt Susz: Yes. I think, in another way.
Wade Miquelon: Excluding that freight anomaly, right, but other than that…
Matt Susz: Yes, correct. So, Yes, I think excluding the kind of non-recurring freight cost we dimensionalized, it's probably seen where we expected several months ago. I think sales are bit slower and we would expect maybe be relative to what we expected than sales a bit slower but certainly we've been able to accelerate gross margin expansion at a much more rapid pace than we thought at that time as well.
Wade Miquelon: We are calling kind of normal ocean freight for what it’s worth is more than double of what we've seen over the last decade. So I hope that's conservative, but we're assuming that it ultimately isn't going to settle where it was. But - and that's what we're building into that base.
Cristina Fernandez: Yes. That's helpful. On the ocean freight, can you remind us, I don't know if you've shared this before, how much of your capacity is contracted versus purchase more on the spot market and subject to fluctuations? I'm just thinking as sort of the increase you're seeing for the fourth quarter, is that something that we should expect that we would go into 2022?
Matt Susz: Yes, I think that's really $64 million question I think. So to kind of break this down, we typically even through our peak time would be contracted for well about 50% of our needs. The issue you're having right now is that capacity is not there. So we're some week’s fortunate, if we can be at 20% or 25% of capacity under contract. So therefore you are into these brokered markets, which of those costs are just astronomical right now, but we're having to pay them to ensure we get product in country that we desperately need. I think that is exactly how this is going to normalize as we're going to be able to get back on majority of our products being able to be procured on contract rates and ship contract rates that those rates as we mentioned have actually doubled this year and we're treating that as kind of normal way cost. But again, we need to be able to get the capacity we contract for to - for those costs to normalize and certainly right now we're not anywhere close to that.
Wade Miquelon: Yes, I'm sure you're hearing this from others as well, in terms of which gears may or may not be complying with the contractual obligations, which is probably another discussion for another day. But again, in the meantime, we're just making sure we're doing what we're doing to be in strong stock as we really think the customers are going to be there and we're going to be there for the customer.
Cristina Fernandez: Thank you.
Operator: And our next question comes from Steven Forbes from Guggenheim. Go ahead, Steven.
Steven Forbes: Good evening. So, Wade, maybe taking a step back, right, if we think about the growth algo of the business that you laid out at the - during the roadshow and on IPO process that 200 basis points to 400 basis points of long-term secular growth, the building blocks within addressable market growth pricing, promotion, optimization, et cetera, has there been sort of any changes of late that would impact how you think about those various growth factors? Or is that 200 basis points to 400 basis points still the right long-term algo for the business as you currently see it?
Wade Miquelon: No, I think we still believe it. And if we look at just what we think the underlying growth is the place where we can still take share, what we're seeing in terms of the lift on our store refreshes, all of that makes us feel pretty confident about that. And I - like I said before, I mean last year, I mean obviously, COVID was a tailwind for us as, you had PPE and more people getting into our space and the like. I think we're at that wonky space right here. I don't think it's getting worse, but we're actually getting only headwinds from it. Again, from select closures, people being a little bit - we see curbside spiking a little bit, and anxiety about going out and again these business is - 20% of our business is actually blossom when the world opens up. So all that said, now we're feeling very good about that algorithm.
Steven Forbes: And then just a follow-up on import freight costs. Appreciate the quantification of headwind from the back half, but any sort of initial thoughts on the timeline behind the anticipated normalization given some of the concerns around the Chinese New Year and potential labor negotiations running the ports for next year, I mean to say, six months, 12 months, 18 months, how long due you sort of expect it to last for?
Wade Miquelon: I mean, I can tell you my point of view, but I don't know if it's just worth much. Everybody probably has a point of view. I do think, you know, if you just look at the whole thing and the fact that 25% to 30% of the capacity came out of the system, you didn't have plans lined for the containers that were derailed, and then you had, at some point, 30% more demand, and products were bulky. The market has been really crisscross this year and then you had in the Suez Canal and LA port jam. It's like you couldn't ask for anything worse. In that $30 million, Matt had actually about $8 million of what we call transloading, because the Chicago rail system and Cleveland and other rail systems have been basically shut down and so $8 million to just to take it off of one container and put it on another truck, which has never been done before. But if you want the product, in some cases, that's what you have to do. So what I would say is, once we get to kind of late October, November, for us the main event is over. We don't ship a lot then for many months. And so you're going to be coming out where there's more capacity coming on, not only our demand but other demand is going to start to fall. And so this thing will start to reset. I don't know that means it's going to be 100% cleared in January, February next year. But I got to believe much better and we are taking steps in doing things to get ahead of this through the next year. But as Matt said, what we're building in our base right now and what we're building in our forecast is more of 2x of what we've ever paid. We will never go back to where it was. I don't know, that might take a few years. As I understand, in a few years, there's a lot of capacity coming online. But I think it's going to have certain way, but then the good news for us is that once we get through the next 50 days or so, whatever, 80 days, 90 days, where we've already booked 90%, we really don't have a lot of volume that flows after that for quite a while.
Steven Forbes: Thank you.
Matt Susz: Yes, I think, fairly, I think - yes, that's definitely the capacity - the capacity normalizing to demand is really what's going to drive these costs back down though. So I think if you're kind of following this going forward, that's what you want to be looking for in terms of when retailers are going to be able to be on more normal contracted rates again.
Wade Miquelon: Just to give you some numbers, I mean, this is kind of just give you a math, but let's just say, historically, wage for program contract where, let's call, 3,000 containers depending where you are bouncing around that for most people. You know, the last several months - into the next several months, you're paying at least in the mid-teens, but it can't be as high as $25,000, $30,000, and you may have to transload on top of that. And AR last I checked was between $120,000 and $140,000. So it's wonky situation, but again, the decision we made is we feel there are a lot of momentum with the customer. We've got security intake. And what we didn't want to do is we don't want to lose that by not spending the money to not be in our best position with the customer.
Steven Forbes: Thank you.
Operator: And our next question comes from Daniel Hofkin from William Blair. Go ahead.
Daniel Hofkin: Good afternoon. Just if I could ask maybe just a little bit of clarification in the - maybe amplify, the sales were substantially different than expected in the second quarter. Could you just maybe just rank order in a possible, put some numbers around the biggest factors altogether? I know you said fashion was a part of it, but not a big part. And to what degree was it all demand related or was it partly supply constraint? The part also that just wasn't quite clear was, it sounded like you said people going out and doing other activities was a negative which is understandable, but then it sounded like you were saying that Delta variant is also negative and it might seem like it would work the opposite way? So, that would be my first question.
Wade Miquelon: Yes, I mean, again, this is rough math, but I think it's kind of that 300 basis points to 400 basis points where we were again below our expectation on it. You can kind of split it down the middle of these businesses. Again about 20% of our business are big businesses like fashion apparel, like special occasion and related notions and other. These are businesses that are driven again by weddings, by large events, by cosplay conventions. A lot of that I think you can kind of blame on. You can blame on COVID, and kind of on the Delta variant where things kept getting delayed and stopped and delayed. So I think that's about probably math about half, and the other half that I think is just again these non-core customers who always kind of drop out this time in the summer time. They dropped out little bit deeper now. But again, I think it stands to reason that if you haven't been able to go outside or travel for a year and now you can, that's going to take higher priority than some of the things that we do. But we feel pretty confident that they'll come back kind of starting now when kids are in school, when the fall season heads, just gearing up for seasonal and other events. So I guess the other piece is again, I think where we feel very good honestly is sequentially. Again, we went from what was a great quarter, last quarter at 14% gross profit dollars on a two-year stack to 18%. I mean if we normalize and put that money back, could we have driven some sales? Yes, at a lower margin, but I don't think it would have been necessarily paid out. And also, again, I think we're at a point here where skew-by-skew, business-by-business, we're making sure that we're being smart about how we put out themselves, so that we actually have inventory behind it. So, Matt, you want to...
Matt Susz: Yes, I think, Dan, one of the thing you mentioned, I'd like to kind of address is, I think very intuitively assume it may be the Delta variant spiking is actually helping our business because we had some pandemic benefit last year. That's really just the nature of what's going on. Now it's not the case anymore, where we don't...
Wade Miquelon: Downplaying PPE.
Matt Susz: Yes. We don't have customers coming in and by and large making PPE. You can buy finished masks everywhere. I don't think people are anticipating they're going to be wearing them for extended periods of time like they might have assumed last year. So, we're really not seeing - there is very specific category of that spike, when that's happening and we're not seeing lips and nose at all.
Wade Miquelon: If anything, right, we are a fully discretionary business, right. So again if people have anxiety or anxious about going out, additional fear about COVID or Delta variant, I'd say, in general, that's more negative than positive for our customer.
Daniel Hofkin: But it sounds like you think that there is likelihood of some reacceleration as we get away from the summer in the more kind of typical period going forward?
Wade Miquelon: Yes, and what I would say, I think we're very ecstatic. Honestly for us the very most important is that top three million customers and then those new customers of JOANN that came in last year that are actually active engaging, spending more, but they're typical customer. Those two segments are well into the teens and higher teens. So that's good. If I had to pick two of the three to be very healthy right now, those are the two I'd pick.
Daniel Hofkin: Okay.
Matt Susz: Well, the other piece, I would say is, we - our acquisition of new customers actually continues to accelerate. We've trended in terms of addition of new customers to what we would typically do pre-pandemic in the first half. We're up 15%, and a lot of those customers again are arts and craft - like share growth customers for us. They're in arts and crafts and a lot of seasonal categories. So, continue to be excited about that. So Yes, I think we've got some signs that if that more casual customer in our industry strengthens again in the back half, I think there is some positive indications for us.
Daniel Hofkin: Okay. And then my other question just relates to the remodels and refreshes. I know that's supposed to accelerate more starting next year. But can you - any updated thoughts there on what that - what they might contribute sales and profitability standpoint relative to kind of status quo?
Matt Susz: Yes. So, I think, as Wade said, we're kind of early in kind of our relaunch of that. Pleased, again, very early on what we're seeing from the projects we've done. So nothing to indicate we shouldn't see the strong high single-digit lifts in our kind of lower tier projects that will do up to well above double digit lifts for stores we relocate. We have no indication that we won't see that, we are well into our planning for the 60 projects we intend to do next year. We've identified most of those already and the pro forma expectations we have with those are in line - with those types of lifts.
Daniel Hofkin: Okay. Thank you very much.
Operator: And our next question comes from Jordan Fine at Anchorage Capital. Go ahead, Jordan.
Jordan Fine: Hi, thanks for taking my question. I guess relative to the first quarter, G&A was kind of flat despite the decline in sales. And I guess I was wondering you could maybe provide some clarification as to why that might have been and if it was because you had more employees than you expected due to the sales miss or whether it was wage inflation-related?
Matt Susz: Yes, nothing really in terms of inflation in costs. We - one thing I would say is our average weekly sales don't fluctuate that much quarter-to-quarter and there is a base of G&A it takes to operate our chain operator, stores operator, our DCEs. The other thing that does occur, particularly in our store operations is we do a lot of projects in the slower sale time to get ready for that back half, we reset a lot of planograms. We take care of a lot of the other projects that we like to avoid doing in the back half because we want our teams focused on - primarily on driving sales. So there is a limited amount of leveraging we can do when sales dip in that quarter because if we were to cut too deeply, you're kind of putting our readiness for the back half at risk and we don't want to do that at all cost.
Wade Miquelon: A lot of costs like our occupancy and staff are...
Matt Susz: They're fixed.
Wade Miquelon: They're fixed.
Jordan Fine: Got it. Okay. And then in terms of the cohort of people that made machine purchases last year and the follow-up demand that you expected from reusables, how do those cohorts kind of compare to what your expectations were?
Wade Miquelon: We keep running that and it compares pretty favorably, and we've had a little bit lower in the last few months. But the two quarters prior were on par with our algorithm. I think in the last month or two, it's little bit low, but there were so many machine sales last year that it would have to be well below what seem to not be a substantial benefit going forward.
Matt Susz: And a chunk of those machines were bought by these customers we described there a little bit, less engaged on average than our core customers. So we did see that dip with that customer again, would expect that that as it usually does for us, we'll pick back up in the back half.
Wade Miquelon: But there's really - and I've seen a few studies on it, too. There is nothing that tells us that both sewing and the arts and crafts space are alive and relevant with more enthusiasts than it had going into this pandemic. And so we're - again, we continue to feel pretty good about, if we can play our A-game, it's going to be good for us.
Jordan Fine: Okay. Got it. And then I guess the last one for me was just how you kind of viewed your performance relative to kind of the rest of the industry just because it seem like the expectations for some of your peers were a little higher than where you guys shook out for the quarter?
Wade Miquelon: Well, we definitely know we gained share in several areas, and I don't know any area where we feel like we had lost share in particular and we have our methods, probably every methods to try to figure that out. So - and again, we look at our different businesses and our different segments, we try to benchmark against apples-to-apples segments, but I think we're feeling pretty good about that.
Jordan Fine: Okay. Great. Thanks.
Wade Miquelon: I would say, also, there is one - we have one very good competitor who is really having a seasonal decor, and they've also had a very good run of it. But as we kind of look at their business, they have been really a great benefactor of one of the closures of the seasonal decor player. So I think you have to parse the market between the different segments to be able to understand sewing versus arts and crafts versus seasonal versus decor versus whatever. But again, I think, like I said, we feel pretty good that we've held our own or gained share pretty much across the board.
Operator: And we have no more questions at this time, I would like to turn it back to management for closing remarks.
Wade Miquelon: Well, look I just wanted to thank everybody for being on the call. We remain very optimistic about the future here. A lot of good things happening and it takes 25,000, 27,000 people to pull it off. So for all of our employees too, not only do we feel we have a lot of momentum with our customer, it does show up in those results where we keep gaining strength on that net promoter and all the indicators under it. And at the end of the day, if we do our job and make those customers happy, we think we're going to have a really strong ride. So I appreciate it and look forward to talking more later. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.